Operator: Good day, ladies and gentlemen, and welcome to the FY 2019 Fourth Quarter and Year End Financial Results. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host. Chris Byrnes, Vice President of Business Development. Please go ahead sir.
Chris Byrnes: Thank you, Lori [ph], and good afternoon. I’d also like to welcome you today to the call for PAR’s 2019 fourth quarter financial results review. The complete disclosure of our results can be found in our press release issued this afternoon as well as in our related Form 8-K furnished to the SEC. To access the press release and the financial details, please see the Investor Relations and news site at www.partech.com. At this time, I’d like to take care of certain details in regards to the call today. Participants on the call should be aware that we are recording the call this afternoon and it will be available for playback. Also, we are broadcasting the conference call via the worldwide web, so please be advised if you ask a question, it will be included in both our live conference and any future use of the recording. I’d like to remind participants that this conference call includes forward-looking statements that reflect management’s expectations based on currently available data. However, actual results are subject to future events and uncertainties. The information on this conference call related to projections or other forward-looking statements may be relied upon and subject to the safe harbor statements included in our earnings release this afternoon and in our annual and quarterly filings with the SEC. Joining me on the call today is PAR’s CEO and President, Savneet Singh and Bryan Menar, PAR’s Chief Financial Officer. I’d now like to turn the call over to Savneet for the formal remarks portion of the call, which will be followed by general Q&A. Savneet?
Savneet Singh: Thanks, Chris, and good afternoon to everyone and thank you for joining us today to discuss our fourth quarter 2019 results. To begin with, I want to take a minute concerns around the Coronavirus outbreak. We like everyone are closely monitoring the spread of the virus and the potential impact on our business and supply chain. Early in the virus’s trajectory PAR took a proactive step and accelerate inventory purchases and pulled forward previously ordered equipment in the event there’s a supply disruption. We continue to push vendors to accelerate their timelines and hope to build a strong safety stock. We believe building inventory is a smart use of capital in an event of a potential longer term disruption. Second, we have not experienced any customer impact to-date. This could change at any time but our customers have not expressed any change in their plans yet. We will continue [indiscernible]. Finally we’re monitoring all potential are of impact on our business and are in close contact with our suppliers and partners. We continue to invest in the safety of our employees and have strengthened their over site given the current concerns. Now to focus in our Q4 operations. To begin with, I’m pleased to report that we completed the acquisition of Restaurant Magic at the end of the fourth quarter and we’re now better positioned to continue to expand our wallet in the restaurant software space. We’ve been impressed with Restaurant Magic team and are excited about their pipeline and what both organizations can bring to each other. Now to review the fourth quarter. This afternoon, the company reported fourth quarter revenues of $52.9 million to $46.7 million in the fourth quarter last year, a 13.4% increase. This increase was primarily due to the increase of 25% in product revenues and a 9% increase in revenues associated with our government segment. We reported a GAAP net loss of $5.8 million and a loss per share of $0.35 in the quarter compared to a GAAP net loss of $6.2 million and a loss of $0.38 per share in last year’s fourth quarter. On a non-GAAP basis, we reported net loss of $4.1 million and a loss per share of $0.25 in the quarter. this compares to a non-GAAP net loss of $3.7 million and a $0.23 loss per share last year. The non-GAAP adjustments are detailed in our press release. Now to review our segment performance. ARR for Brink at the end of Q4 was $19.2 million an increase of $4.7 million and 32% growth from a year ago. And $1.3 million increase from the sequential third quarter. ARR number is built off restaurants being invoiced as of December 15, 2019. In the quarter we completed implementation of 622 new stores. New bookings in the quarter totaled 913 sites and our open order backlog now stands at 1,390 stores. We continue to win most competitive enterprise restaurant opportunities and are outpacing our competitors with a reputation in commitment innovation. The dramatic increase in the open orders store count is due to correcting the previous accounting procedure we had been using. This correction gives the completely accurate number of stores booked and yet to being installed. Update in the previous quarter, Q3 our open order count improved to 1,009 stores [ph] at the end of September from the previously reported number of 682. It’s also very important to note that a significant number of stores that we could anticipate in rolling out during Q4 delayed their bookings and some installs due to a hardware product sourcing issue. During the fourth quarter, we had challenges acquiring a specific hardware complaint from our suppliers that negatively impacted our installs and bookings for the quarter. I’m happy to report that we’ve resolved this issue and have engaged with additional suppliers to ensure a more consistent supply chain for our customers and we’ll be signing up those affected customers in the next two quarters. We continue to experience high demand for our software solutions and expect this to accelerate as 2020 progresses. Regarding churn, we ended the quarter on a positive note with an annualized rate of 4.7% for the quarter and a 6.8% rate for all of 2019. The 4.7% is the lowest quarterly churn, we’ve reported since 2016. As we did on our last quarter’s call, we’re introducing a table service module at Brink that will immediately enhance our addressable market by 2 times. Traditional table service restaurants not more require more detailed point of sales solution as their businesses are more complex. That complexity will drive higher subscription fees for our software solutions ending over higher ARPU rates. Along with table service the introduction of PAR payment services will be challenging the payment processing status quo by taking a simple, transparent and secured approach to payment processing. Restaurants pay just one bill for multiple services in part easy to understand pricing model will limit the hidden fees common with other payment processes arrangements. Unlike other vendors PAR will guarantee rates for the term of the contract ensuring restaurants have a clear picture of what is included and what is not. Our hope is to be the clean sheet in a market filled with many overcharging. We’ve been encouraged by our early customer feedback and expect payments to grow to be a substantial portion of PAR’s business in the coming years. As a platform company, our business includes significant attachment of hardware and lifecycle support revenues. Hardware revenues associated with our Brink deployments grew almost 90% from Q4, 2018 as we integrated PAR solutions continues to be valued by restaurant owners and operators. Now to review our hardware and services business. Our recently acquired Drive Thru Communications business performed better than our expectations to-date. We’ve built strong and innovative team that is driving growth in the new business in product development areas. In Q4, we hosted our takeout partner event and we were able to renew strong relationships with our top resellers. We’ve been successful early on in signing new businesses and extending service in the older large customers. We’ve successfully transitioned manufacturing away from 3M and we’re seeing solid progress and opportunities surrounding artificial intelligence and building out the Drive Thru with the future in partnership with Brink. Our relationship with our Tier 1 clients among large organizations is strong and our core business and strategic account team continue to be industry leaders in delivering hardware in critical services in some of the world’s largest restaurant companies. Stepping out the quarter, I feel confident that continued investment in R&D and our newly built Brink management team will lead to a strong acceleration of growth. While our team has not been together long every new member of the team has raised the bar for the rest of us and we’re seeing significant improvement in product, sales and operations. Now to review our government segment. Our government business delivered a solid quarter evidenced by the 9.1% increase in revenues compared to Q4, 2018. Our backlog at the end of Q4 was a solid $148 million. Our Intel solutions business was a driving force behind the growth in the quarter as ISR revenues increased 52.2% from one-year ago. We have confidence in our backlog and a provide a base for an improved 2020. We continue to see contract opportunities where we can leverage our expertise and initially known performance excellence specifically in value added revenue contracts that include more directly over high tech contract work within our Intel solutions business line. Before Bryan reviews our numbers in the quarter. I thought it may be helpful if I laid out a framework on why we believe PAR is potentially better positioned to others withstand impact of the Coronavirus outbreak. First, PAR market up customers has historically been and likely will continue to be heavily weighted to QSR and fast casual market. This market generally performs better in slowing economy as customers tend to shift towards these concept. In addition these franchises based businesses tend to withstand - their business models tend to be more mature - brand recognition. Second, there’s the potential of the virus’ spread will highlight the need for accelerating digital and drive thru spend. As restaurants pace for slowing table service traffic, we expect off-premise dining, online ordering and delivery to become higher priority all of which modern point of sale product. Restaurants will need to find a way to serve customers in this new environment while managing labor cost in their own supply chains. We think this all highlights the continued need to technology investment. Moreover as consumers avoid physical restaurants and drive thru will likely receive increased attention. This should benefit part of suite of solutions. Third; we expect valuations to potential [indiscernible] many targets to become more attractive in this market. During the last year we’ve seen several high quality businesses who are living on the expectation of the next bench around. It feels not materialized; PAR is in a very favorable position to sweep in on specific deals. Moreover PAR’s position as a point of entry into the restaurant will become more and more valuable. In closing, with all that is occurring on a macro basis. We remained focus on the opportunities that enable long-term sustainable growth for our business. We expect to accomplish this by delivering innovative technology and solutions that create modern and exceptional experiences for our customers all field by engaging happy team. That concludes my formal remarks and I’ll now turn the call over to Bryan for a more detailed reported on the quarter’s financials and then we’ll open the call to Q&A. Bryan?
Bryan Menar: Thank you Savneet and good afternoon, everyone. I would now like to take this opportunity to provide some additional details surrounding our fourth quarter results. As Savneet previously stated, we reported revenues of $52.9 million for the quarter up 13% from $46.7 million reported in Q4, 2018. Our net loss was $5.8 million or a loss $0.35 per diluted share for the quarter versus a net loss of $6.2 million or a loss of $0.38 per diluted share for Q4, 2018. Our quarter-over-quarter favorable performances primarily driven by continued growth in Brink POS revenue including related SaaS hardware and support services and an introduction of recently acquired Drive Thru product line. Operating segment revenues for the year ended December 31, 2019 were $35.6 million for the restaurant retail reporting segment. An increase of 16% from $30.8 million reported in Q4, 2018 and $17.3 million for the government reporting segment, an increase of 9% from $15.9 million reported for Q4, 2018. Restaurant retail revenue for Q4, 2019 by business line consisted of $23.4 million for quarter, $11.7 million for Brink and partial period revenue of $0.3 million for Restaurant Magic for the 12 days post close of a year end acquisition and $0.3 million for the one month revenue related to SureCheck prior to divestiture at the end of October, 2019. Restaurant retail revenue for Q4, 2018 by business line was $22.5 million for core, $6.9 million for Brink and $1.4 million for SureCheck. Government revenue for Q4, 2019 by business line consisted of $8.9 million for ISR, $8.3 million for Mission System. Compared to Q4, 2018 revenue by business line of $5.9 million for ISR, $9.8 million for Mission Systems and $0.2 million for product sales. Product revenue for the quarter was $20.2 million up $4.1 million or 25% compared to Q4, 2018. Our hardware sales in the restaurant retail reporting segment were up versus prior year mainly driven by $2.7 million in sales of the recently acquired assets of 3M’s drive thru product line. And a $2.5 million increase in Brink hardware as compared to Q4, 2018. Service revenue for the quarter was $15.5 million up $0.8 million or 5% compared to Q4, 2018 the increase was primarily due to $1.1 million or 41% increase in Brink SaaS. We finished the year with Brink annual return revenue of $19.2 million as compared to $14.5 million in 2018. Contract revenue from our government operating segment was $17.3 million up $1.4 million or 9% as compared to Q4, 2018. This increase was driven by $3.1 million increase in our ISR business line. The contract backlog as Savneet said continues to be healthy, noting total backlog of over $148 million as of December 31, 2019 and a trailing 12-month book-to-bill 1.2. In regards to GAAP margin performance for the quarter. product margin for the quarter was 19.5% compared to 14.1% in Q4, 2018. The improvement in product margin was primarily due to $1 million write-off for SureCheck hardware in Q4, 2018 partially offset by unfavorable offering mix as a result of increased percentage of peripheral sales in Q4, 2019. Non-GAAP margin was 18.1% as compared to 20.5% in Q4, 2018. Service margin for the quarter was 33.9% compared to 17.5% in Q4, 2018. The improvement in service margin was primarily due to $1.6 million impairment for SureCheck software in Q4, 2018. In addition to favorable offering mix as a result of the growth in Brink SaaS. The non-GAAP margin was 33.4% as compared to [indiscernible] at Q4, 2018. Government contract margin for the quarter was 9.9% compared to 11.9% in Q4, 2018. The decrease in margin was primarily due to a strong margin quarter in Q4, 2018 from our Mission Systems business line. Now to operating expenses, GAAP SG&A was $9.9 million up $0.5 million versus Q4, 2018. The increase was due to additional investments in Brink POS sales and marketing and increased equity incentive compensation partially offset by decreases in core sales and marketing. Non-GAAP SG&A was $8.8 million down $0.1 million versus Q4, 2018. Non-GAAP SG&A adjustments for Q4, 2019 $0.2 million related to investigation of conduct in our China and Singapore offices and $0.9 million for equity based compensation as compared to $0.2 million and $0.3 million respectively in Q4, 2018 [ph]. Research and development expenses were $4.1 million up $0.8 million versus Q4, 2018 driven by increased investment in Brink development of $1.2 million. Now to provide information on the company’s cash flow and balance sheet position for the 12 months ended December 31, 2019. Cash used in operations was $16.1 million primarily driven net operating loss in addition to $5 million increase in net working capital needs resulting from increase in receivables late in year tied to [indiscernible] transition. This compares with cash used in operating activities of $3.8 million for the 12 months ended December 31, 2018. Cash used from investing activities was $24.5 million for the 12 months ended December 31, 2019 versus cash used of $6.7 million for the 12 months ended December 31, 2018. During the 12 months ended December 31, 2019 we used $13 million of cash for the Restaurant Magic acquisition, $7.5 million for the Drive Thru acquisition and received $2.5 million for a divestiture of the SureCheck assets. In the 12 months ended December 31, 2019 we also capitalized $4.1 million and cost associated with investments in our restaurant retail segment software platforms in line with the same period in 2018. Now [indiscernible] CapEx cost were $2.5 million for the 12 months ended December 31, 2019 down $1.5 million versus 2018 due to a decrease in cost associated with the implementation of our new ERP system and IT infrastructure. Cash provided by financing activities from continuing operations was $65.9 million for the year ended December 31, 2019 versus $7.3 million for the year ending December 31, 2018. The increase was primarily driven by proceeds from 2024 notes net of issuance cost and repayment in full of all amounts outstanding under the credit agreement partially offset by the final payment related to the conclusion of the Brink acquisition. As of December 31, 2019 inventory balance was $19.3 million a decrease of $3.4 million from December 31, 2018 and a decrease of $0.2 million from September 30, 2019. Inventory turns were three times for domestic and four times for international operations. Accounts receivable of $41.8 million increased $15.5 million or 59% compared to December 31, 2018. The receivable balance was broken down between government segment of $11 million and restaurant retail segment of $30.8 million. The increase in restaurant retail accounts receivable was driven by invoice timing in Q4 waited towards the second half of the quarter as a result of the ERP migration in the beginning of the quarter. additionally, both operating segments experienced increased revenue in Q4, 2019 versus Q4, 2018 and the acquisition of Restaurant Magic increased receivables by $1 million. Restaurant retail segment day sales outstanding increased from 52 days as of December 2019 to 77 days as December 2019 due to the ERP timing. Government day sales outstanding increased from 45 days as of December, 2019 to 58 days as of December 2019. That concludes our remarks. I would now like to turn the call back over to Chris.
Chris Byrnes: Thanks Brian. Lori [ph]. I think we’re ready for Q&A now.
Operator: [Operator Instructions] we have a question from Samad Samana from Jefferies. Please ask your question.
Samad Samana: I guess to maybe, I know you touched on kind of the broader environment during the call. But if I can maybe double click on that. How should we think about maybe how your QSR customers are thinking about store opening, store closings or prioritizing kind of technological advancements during a time like this? Just help us maybe understand how we should think about customer behavior a little bit better just during volatile times like this?
Savneet Singh: Sure I think all we know as we’ve been told so far and I can tell you is, two of our customers have not yet pulled back on their plans with us and as you know their plans with us are very much tied to new store openings or rollout. So we haven’t seen it impact quite yet and I think, as I mentioned during the call. In the premise of being QSR probably helps us there. I think a good analog might be 2008, where you saw QSR in fast casual be relatively resilient during a tough time and so if that happens that, which I think there’s no reason that it could, that the pool that we fish in is a little bit called more shallow [ph] than others that we shouldn’t be it more resilient, given that both of the customers we serve very well. Second, I think, it’s clear with the virus that traffic to table service restaurants to drop off significantly and that too should potentially be a boost to QSR restaurant drive thru focus restaurants. But I think it forces every restaurant to have a robust plan around digital ordering, online ordering, third-party deliver, native delivery, off-premise eating, labor, inventory management and all of those initiatives required modern point of sales system. So I think if there’s a global recession nothing will truly offset that. But I think this definitely helps mitigate it because I think that spend will still be prioritized.
Samad Samana: Okay that’s helpful and then. Yes, Savneet I know during the quarter that recently a company filed that a permanent contract for you, I know that’s a question some investors had brought up to us. I’m curious if you’ve noticed anything in terms of when you’re dealing with larger enterprise customers. If that’s, I know it’s a little bit weird question, but has that had any type of impact now that or especially maybe on the employee side at the company itself as well. Now that they know that you’re somewhat at the long haul and how has that, has that any type of [indiscernible]?
Savneet Singh: No, but I think our employee is a team, our customers knew that I’m sort of all-in and very committed to the journey. So I think more to the [indiscernible] than seeing anything else.
Samad Samana: Okay, so it’s just an investor - we care. With the Restaurant Magic acquisition, I know the company talked about the different customer basis last quarter. could you give us maybe an update on the cross selling strategy there and maybe initial customer feedback now that the acquisition has been closed for about three months?
Savneet Singh: Sure. So I think the [indiscernible] has been fantastic. I think a lot of this driven that restaurant organizations are continuing to trying to find new ways to simplify their organization. They had a challenging time managing so many vendors and so I think they liked that arguably the two most important products in the restaurant are the back office and the point of sales and having it under one roof I think simplifies their experience and so we’ve had really a strong reception from our customers. As it relates to sort of going in together. We have a nice pipeline of joint customers we’re going after and I think the teams are working very well together and I look forward to sort of sharing some of those winds down the road. But without question a number of customers are always looking for us to work much closer together and the Brink seems really been able to do, increase the speed of referral to the Restaurant Magic side.
Samad Samana: Great and then maybe one last one for me and then I’ll pass the baton along. I know that the company did a few acquisitions in 2019. Obviously in times like this there’s dislocations. How should we think about maybe M&A opportunities with PAR being a publicly traded company with a healthy balance sheet? How should we think about year on maybe strategic M&A opportunities in this type of environment?
Savneet Singh: Sure. So I think from an M&A perspective I think we’re in a fantastic place. We completed our capital raise, raised it close to the peak of the market. So we’ve centered our balance sheet, which gives us a lot of comfort to continue the investments we’re making and potentially be more aggressive on the M&A side. We’ve been really transparent that we think that there’s a great opportunity for us to own more of the wallet share of restaurant software spend and this should accelerate that. We’ve looked at dozens of deals to be frank that we love to have gone deep on and taken a swing at. I think multiples were just never given at the margin to safety to really get into. I really do believe that’s going to change with this VC cycle hopefully slowing down a bit, it gives us the opportunity to be more aggressive and I think, not all but some of our competitors will be in more challenging financial situation which we’re in competition for some of these deals and so I think it could be very, very beneficial for us.
Samad Samana: Great, that’s really helpful and I’ll pass it along to my peers on the call. Thanks again for taking my questions.
Operator: Your next question comes from the line of Ishfaque Faruk from Sidoti & Co. please ask your question.
Ishfaque Faruk: First of all, Navneet [technical difficulty] expense add around 1,000 or so [technical difficulty] both going forward or do you think [technical difficulty] might have [technical difficulty] off due to the current situation?
Savneet Singh: Ishfaque, you’re cutting it out, but I think I know the question. So the question was, do we still expect to hit around 1,000 bookings for the quarter? I think we should be directionally there going forward. As we said in the transcript, we had a hardware component issue that we wouldn’t have well passed that number in Q4, it’s not for hardware component issue. I think hopefully we’re in there. But much of our quarters really determined by the lot two weeks of the year and so we’ll see how the quarter saves up, but the macro environment obviously has a big impact on us. We feel like very confident what we think for the year, we can hit. But short-term we don’t know. But I’d say broadly where we continue to sort of tug along as we’ve been doing. I feel confident and as I said all along, I really feel extremely confident about the back half of the year.
Ishfaque Faruk: Got it. And table serve side, you mentioned that you guys are ready to put the current environment [technical difficulty] on the timing of the table served for a more broader view?
Savneet Singh: Ishfaque, I’m having hard time hearing you but, is the question timing of table service?
Ishfaque Faruk: Yes for a broader rollout.
Savneet Singh: Got it, so. We’re still probably a couple months away from broader rollout. We’ve gotten to the point where the [indiscernible] about the products, the team. And so, you can think of it as we got early customer traction, we’re going to work it out with them. We’ve been selling table service for years and years. This is sort of revamped product that we feel extremely confident about and so we’re in conversations with mix of some organizations and then a couple of very, very large organizations. So it’s still very early in what we’re doing and but we feel really confident at the quality of product and as we mentioned before, a lot of our entry in the table service was driven by either large customers requesting us to do that or our channel partners really pushing us. So we feel, it’s very exciting for us. We’re just at the beginning of it and hopefully the next quarter we can talk about traction.
Ishfaque Faruk: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Adam Wyden from ADW Capital. Please ask your question.
Adam Wyden: Yes, Savneet, so look it’s an interesting time that we’re all in, I think people are asking a lot of questions. I think it’s a been a pretty long journey over the last couple of years. It feels like kind of where we are where we started, but we’re not. So and I guess my question to you is a lot of short sellers are out there saying that, no one is going to install any software if restaurants are not open, they’re not making any money. In the past you talked about giving people hardware in exchange for SaaS and payments. And some of our channels actually became evident, you might have signed a couple of these contracts recently. You’ve got this robust balance sheet. I mean can you talk a little bit about how you can kind of accelerate deployment. I mean because it seems at some level that the bottom [indiscernible] people. You said you couldn’t get the hardware, but you got the hardware. I mean sometimes the bottle neck is getting the guy to pay for it. Can you talk about the initiatives that you’re doing in terms of giving people the hardware, discounting the hardware in exchange for payments and SaaS like your peers are doing maybe talk a little bit about how that gives you confidence in your backlog relative to kind of what other people are saying?
Savneet Singh: Sure. I’ll first say that, we get to see through the pull back room from the industry. Obviously if it happens, it happens. We feel if there’s some reasons that there’s some tailwinds to protect it. But specifically to the hardware question. Absolutely we’ve built out a payments business and one of the advantages is having a payments module, is allowed you to be more creative on how you structure deals to your end customers. And so buy building on a new recurring revenue stream we can be more flexible in how we price out our hardware and so it’s a tool that we kind of, we needed it in our back pocket to accelerate our growth particularly in the table service market and I think what we’ve been encouraged by early on in our conversations payments is that, some of our larger customers who we just never would have thought, even have the conversations have been the ones actually very excited by it.
Adam Wyden: Let me ask you a question, in this world where you have everybody sorting sea world [ph] 6.5, the people are saying they’re never going to go to a restaurant again. And we know that people go to restaurants, even if they don’t go, if they go less. People are going to eat; people are not going to sit at their homes. I mean, even if your restaurant sales are down, your props are down. I mean why on earth, would you not take this opportunity when business is slower to take this software that’s going to allow you to be more efficient, cut cost and get delivery and it doesn’t cost you anything because I mean at the end of the day, if you’re taking Brink the only cost to you effectively is the SaaS, but it’s really the hardware. And so my question to you is like, if you’re in a situation where you’re getting the hardware heavily or free like, why would you not take the product in a down economy. It’s only going to bolster efficiency and potential sales. I mean I’m just trying to understand that. I mean that seems like a silver bullet on some level.
Savneet Singh: I think ROI for Brink is always high. I think ROI now, if I was a restaurant operator, is even higher. Not having online ordering, not having third-party deliver your cost all account, not having off-premise dining, not having creative way to manage your drive thru. I find it hard to think that they wouldn’t want to continue to make that investment they haven’t done that yet, given what you talked about which is maybe not everyone will go to a restaurant until they want, pick up, they want deliver. I think that in all down economy there’s a pull back and spend, but there are certain areas you’d invest into hopefully offset some the revenue off as you’re going to as a small business. This is one of the areas I expect them to go after and as you suggested, if we can mitigate some of that hardware cost or all of it at times it’s - I think it’s a no brainer, which is why I think today we haven’t loss of customers going back for this yet, but I think we will see it as this virus continues to as it’s trajectory.
Adam Wyden: I mean look I guess at the end of the day like even if the government were to mandate restaurant closures, right? That still wouldn’t preclude you guys from doing implementation and stuff like that. I mean I will just come back to the same point which is it like, if it doesn’t cost on anything to do it. I guess it really just comes down to like counter party risk on your part, like you’re making investment in them. If you’re going to give them the hardware that they’re going to stay in business and get the revenues. But I mean, if you’re doing business with big chains right like it seems like a pretty good risk adjusted return. Which comes to my next question, which is? We talked about M&A. I mean the stock here is at $15. I’m just going to do what I call convenient store map. The 15 times 17.2 that’s $258 million that converts at $43 million. I don’t know what your net debt is, I haven’t checked your balance sheet. But it’s probably on the measure of around $30 million. If you’ve got government worth at least 100 and hardware at least 100 that’s $88 million and at least kind of my back at the envelope map, with Restaurant Magic and the previous thing. You were supposed to exit the year around 50 on ARR which means you’re basically paying less than two times ARR for Brink. Now we can play with the numbers around a little bit and this map. I mean but it seems unlikely that there is anything that you can buy at two times ARR. So maybe this is a little bit like Lee Cooper [ph] on the Windham [ph] call, but this is getting kind of outrageous and the short sellers are kind of giving to us and as a long-term shareholder. I mean I want to be rewarded for taking the pain and taking the journey with you. I mean what type of initiatives. I mean let’s say tomorrow the stock market is down 10%, this thing trades $10. I mean going down 25% everyday. I mean you do 25% a day for four days and you’re probably a zero. I mean what are you going to do for us shareholders to make sure that we’re being compensated for the journey. Because I know you moved your family up there. You got this comp package. You want to make money like the rest of us. I mean what kind of confidence can you give to investor that you’re going to protect us and really reward us for being on the journey with you.
Savneet Singh: The best thing we can do is continue to execute our plan which is to make our investment with Brink, so we can continue the reacceleration of Brink organic growth and as I suggested. Obviously, we’re very active and looking at having opportunities right now. And so I just think - I guess I think we feel stronger than our competitors at this moment in time which, so we want to take advantage of that and be aggressive during this time of year.
Adam Wyden: While I was talking about like share repurchase. So right now the stock’s at $15. Let’s say tomorrow it trades at $10. I mean you raised a ton of money; you can do an accelerated share repurchase I’m sure by a third. I mean you almost have a moral obligation to do it. Right. I mean right now the stock market is basically put double bell shock under your head and say you’re dead. You’re dead. Restaurants are dead. Savneet Singh, PAR Technology’s restaurants are dead and you guys aren’t worth the paper that you printed on. And my question to you is that fortunes get made buying fear. And so you have a confidence in this business and this stock is $10 tomorrow which it totally could be like what are you going to do to protect the shareholders because you just raised $120 million at $43, we are $10 why are not doing an accelerated share repurchase putting $30 million stock at $10. If you have really confidence in the backlog, you have an obligation.
Savneet Singh: I think we would look at, stock with $10 we’d obviously get all opportunities to create value and we would make the argument, how we look at our valuations return of buying back shares in verse doing acquisition verse staying in the course. We’ll constantly keep doing that now and making sure we’re maximizing every dollar announcement.
Adam Wyden: Like I know you get it, but like I guess my question to you is like, if you’re going to do M&A you need a cost of capital and right now it seems very harder to me, I mean I guess where I’m going with this. These prices it doesn’t feel like you can any M&A when you’re trading at two times, when Brink is trading at two times revenue. So my question is.
Savneet Singh: Yes, I think, we understand. I totally agree with you and we understand the dynamic of our share price in many ways is part of our cost of capital. And so, we’re a week or two into this steep decline and so while the company evaluates what’s the best way to create shareholder value. We’re best with it. The team is invested behind it and stock with $10 I think whatever price of stock is, we would take incredibly seriously. But we need to wait out against the other options that we have out there and we will constantly do that.
Adam Wyden: Yes, I mean look it’s at $15 today. I mean I don’t know where it is tomorrow. But even at $15 like I’m thinking about it. I’m saying to myself; you know it’s two time - you’re paying like two times revenue for Brink and I think on some level. I think you know we have the tech debt, we had issues with the engineers. I mean look all the types of things that you can do to drive organic growth like the payments, like the hardware solutions all these things were things that time to spool up and so now it’s kind of spooled up, growth should accelerate and I guess my question is, you never wish bodily harm on humanity and this virus is terrible. But like it’s presenting an opportunity where people are saying look, I can just shoot any hospitality stock in the world, right just shoot them all. And the question is.
Savneet Singh: So listen, I think we have exact perspective that there’s an opportunity, we’ll be aggressive to be talking. I think we’ve shown that we’ve done that a lot in the last year and we’ll continue to do that.
Adam Wyden: Well I mean look, honestly.
Savneet Singh: And it obviously limits on what we can say publicly and we can’t publicly and so it’s all I can really say about it.
Adam Wyden: Okay, that’s fine. Well look I think you’re doing a great job and I’m very happy with the initiatives. It’s kind of like there’s just - so it’s kind of like we’re in the Twilight Zone. I just think it’s kind of insane that in the last three years, we made all this progress, but it’s just not reflected so. I tell all CEO’s when the market gives you these opportunities you kind of have an obligation to shareholders. Right. And if you can take the share counts from 17 to 10, we’re all going to make a lot of money on the other side of this, but this but like you can’t squander those types of opportunities.
Savneet Singh: Okay, thanks Adam. We’ve got another caller and we can continue this offline.
Adam Wyden: Yes that’s all right.
Operator: [Operator Instructions] your next question is from James Burian [ph]. Your line is now open.
Unidentified Participant: Could you give a little color about PAR Pay because it’s my understanding there’s a lot of low hanging fruit that could make lot of money for us quickly.
Savneet Singh: Sure. I’ll just [indiscernible] terminology. It’s most PAR payment services. PAR Pay is a module of PAR payment services. But in general the idea is for PAR to provide payment service to restaurant thus that, when a transaction is swiped at the restaurant that run through our own payment facilitator as a pose to referring that business to a third-party and it’s a model that has tried and tested by essentially every one of our competitors except for PAR. And why we believe this contributes in addition to our revenue is that, we’re not recreating the wheel here. We’re very leveraging the work has been done by every other firm out here and I think our sort of unique ad here, is that we’ve made it incredibly seamless for the customer. we made incredibly transparent. No hidden fees. None of the sort of potential behavior that has scared people away from partnering payment. And most importantly, as we’ve gone out to our customers, we continue to be excited about their interest in the product and so the way to think about it is, every time you swipe that card at the restaurant. PAR will make a fixed fee on every single one of those swipes in return for doing approximately that transaction and so the revenue we expected that in certain restaurants, it maybe a small, it’s a very large concept and call it increasing recurring revenue by 10%, but in other restaurants it could increase our revenue well over 100% and so it’s a big range of what we can make on it and we don’t have the data, here’s how we look at it going forward. But as we get out there, into next quarter we’ll have some good data to share.
Unidentified Participant: So you’re basically at zero traction right now when it comes to assigned customer?
Savneet Singh: I can’t comment on that. But I can say this, we would not have made the investment into the product and partnership if we do not believe there was customer demand.
Unidentified Participant: Thank you.
Operator: Presenters, there are no further questions at this time. I will turn the call over back to Mr. Singh for his closing remarks.
Savneet Singh: Thank you everyone for joining. We look forward to updating you in the coming weeks.
Operator: Ladies and gentlemen, this conclude today’s conference. Thank you for your participation and have a wonderful day. You may all disconnect.